Noella Alexander-Young: Hello, and good morning, everyone. Welcome to today's presentation. My name is Noella Alexander-Young, the virtual event moderator here at Redmark Financial Communications. On behalf of our team, we would like to thank everyone for joining us today for the presentation of Prophase Labs for their third quarter 2024 results. Prophase is trading on the NASDAQ under the ticker symbol PRPH. Presenting today is Ted Karkus, Chairman and Chief Executive Officer. Following the presentation, there will be a Q&A session, which you can participate in using the chat box in the top right-hand corner of your screen. With that being said, I will now hand it over to Ted.
Ted Karkus: Thanks, Noella, and thanks, everybody, for joining today. I always give a shout-out to Renmark to start. We do a virtual non-deal roadshow presentation just like this every month. If you are a new shareholder, I absolutely recommend you sign up with Redmark, and I love updating shareholders. Before I get started, I have to, of course, read the forward-looking statement. Let me get through this quickly. Before we get started, I would like to remind you of the company's Safe Harbor language. During this presentation, we will make forward-looking statements, including statements regarding our strategies, plans, objectives, and initiatives, and underlying assumptions. While we believe that these forward-looking statements are reasonable as and when made, forward-looking statements are based on expectations and involve risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties include, but are not limited to, our ability to obtain and maintain necessary regulatory approval, general economic conditions, consumer demand for our products and services, challenges related to entering into and growing new business lines, the competitive environment, and the risk factors listed from time to time in our filings with the SEC. This call will present non-GAAP financial measures such as adjusted EBITDA. Reconciliation of these non-GAAP measures to the most comparable GAAP measures is included in the earnings release furnished to the SEC prior to this call and available on our website.
Ted Karkus: Okay. So I want to start by getting into the subsidiaries in our presentation. Noella, could you enlarge the investor presentation screen? It's small on my screen. I assume it's larger for the viewers.
Noella Alexander-Young: It is larger for the viewers.
Ted Karkus: Okay, great. I want to start by talking about our many initiatives that have so much potential. As far as the capital raise is concerned, I wanted to seize the opportunity to have an aggressive launch for DNA Complete and DNA Expand to take advantage of the holiday season. Advertising for Black Friday has already begun. This is one of the best times of the year for selling DNA products and services. They are great for gift-giving and a significant percentage of our annual sales. At the same time, PMI is ramping up aggressively. If you think about it, purchasing more packaging, more ingredients, manufacturing more product—we're really ramping up aggressively right now. Adding more shifts, adding more labor, it all adds up very quickly. Meanwhile, invoicing to customers and receiving payments from our customers can be months behind. So it can create a cash flow imbalance. I don't think anybody on this call would want me to hurt our fourth quarter by not having the capital to support our subsidiaries that have such tremendous growth potential and, in fact, in the case of PMI, growing so strongly and robustly right now. It's just the time of the year that I want to take advantage of. I want to have a strong fourth quarter. That's my anticipation, and that's my goal. Look, I'm the largest shareholder in the company. The capital raise affects me as much or more than anyone else. I made an executive decision and believe that in hindsight, a few months from now, when we report Q4, it will prove to have been the best decision. Also, I want to mention that our investment bankers have forty-five days to exercise the fifteen percent green shoe. For those of you that don't understand about capital raises, the green shoe is meant to support the stock price in the aftermarket after the capital raise has been done. If that's needed after forty-five days, then instead of covering the short, that extra fifteen percent is provided to the company. They exercised our investment bankers exercised the green shoe the same day, which is highly unusual. Obviously, our bankers are very bullish and have plenty of buyers in the aftermarket, and we're not the least bit worried about needing the green shoe to support the stock price.
Ted Karkus: And finally, I'm proactively working on a plan to reduce overhead and other expenses by at least six million dollars, which may include satisfaction of more than five million dollars in payables. I anticipate this plan going into effect before the end of the year. At the same time, we anticipate at least five plus million dollars in earnings next year for formulas. These two items alone would provide an eleven million dollar real cash earnings swing to the positive for our company. Just on these two items alone, having nothing to do with the other subsidiaries. They're all growing. In addition, potentially reducing five million dollars or more in our payables, which would be a part of the initiative I am working on. In fact, I can't go into more details right now, but I would anticipate that long before year-end, I should have a very nice update about all of this for all of you. In regard to our potential liquidity, and then I really want to get into the subsidiaries, in regard to our liquidity events, first of all, our accounts receivable with the government. Due to the election, it was impossible for my team that we have hired. We've hired some very sophisticated attorneys and political consultants to work on getting this the accounts receivable from the government. Unfortunately, during the election for the last couple of months, all of a sudden, the government, you know, the politicians were sort of in shutdown mode in terms of being responsive. All those doors are opening back up. I don't think I should name names, but I will just say that our consultants have been meeting with very well-known politicians, and I am optimistic that we're going to collect the large block of money at some point. The problem is I just don't know when. I don't know if it's going to be a week, a month, three months, or six months. I can't operate the company. I can't grow the subsidiaries based on money that's coming in in the future. So it's been really, honestly, frustrating for me, but I know we have tremendous underlying value in the company, and I know that we have large blocks of money coming to us down the road. So that's number one. Is the accounts receivable. I would also point out that on the accounts receivable, we have seventy million dollars of testing for COVID that we did that we were never reimbursed for. It's a ridiculous amount of money. You say, where is the seventy million on your books? We were conservative. We never put the seventy million on our books. We put less than thirty million on our books. There's another forty million that we're going after that's not even on our books. We never anticipated or expected to collect on seventy million. Some tests don't have the proper insurance, etcetera, etcetera, don't have the right patient information. Somebody tested too often, and they don't want to reimburse. Those types of things. So we discounted, but we were very conservative. But we realistically are going after the seventy million. I would assume that we're going to get a percentage of that. The group that we've hired is going to take a percentage of that. When you put it all together, I still believe that we have very large blocks of money coming to us. I just don't know when. It's hard to run a company based on I don't know when. Two other potential liquidity events. And this is really just developing now. Our b Smart esophageal cancer test, and I'll get into this when we go through the presentation. But we have initiatives that have started with some of the largest cancer diagnostic testing companies in the world. We could do a partnership at any time. I don't know if that's in a month or two, or in six to twelve months. I really don't know right now, but I can tell you that our goal is to pick two of the largest against each other because they really want to get into the space. And we have a lot of proprietary know-how regarding the proteins that affect esophageal cancer. I'm going to get into that more in the general presentation. I want you to be aware. Esophageal cancer, our test has enormous potential, and there's the potential that we can get a block of money in sooner rather than later, and we'll just have to wait and see. And finally, with PMI, again, I'm going to get into this in moments, but I strongly believe we could sell that in the first quarter. And the valuations we're talking about could be forty, fifty million dollars. And, you know, by the end, twelve, eighteen months from now, the valuation of it could be a hundred, a hundred and fifty million. So selling for forty to fifty million should be relatively easy. It's not a guarantee, but we know that there are a lot of very interested buyers. So let's get into the subsidiaries. I wanted to start with that before we got into the actual slides. I'm not going to spend a lot of time on each slide. I wanted to give you some of that background. So let's see if I can again, Noella, this is not the usual screen. Let's see. Okay. So I read you the forward-looking statement already. Look, I'm going to assume most of you are already shareholders and already know the subsidiaries. I'm going to talk about them in order: formalized manufacturing, the left manufacturers lozenges, our Prophase, be smart esophageal cancer test, multibillion-dollar potential. We just launched DNA Complete and DNA Expand. Nebula Genomics, think of that as our laboratory. Our world-class laboratory and Prophase supplement. Have Legends XL in the marketplace now. Have distribution of forty thousand food truck and mass stores. And we're soon to release Equivir, our broad-based antiviral that I'm really excited about. We have the entire infrastructure in place to roll out Equivir. I'm going to go through each of those, and then we'll get into the Q&A.
Ted Karkus: Alright. When I say our best is yet to come, perform a track record, my track record speaks for itself. Of course, with the stock price where it is, people say, well, what about now? The one thing I can tell you, which I find interesting, back in 2012, I had essentially a bankrupt company on my hands. The only product we had was Coldies. Coldies had declining sales for four or five years. It looked like it was going out of business. Our stock price was sixty-five cents. Interestingly, we're quite at about the same number of shares that we do right now today. I turned around the brand, sold it for fifty million dollars. Paid out two dollars and forty cents in cash special dividends to our long-term shareholders. Okay. So now, yeah. Are we back to these penny stock prices? Yes. The difference is instead of having the Coldies brand that I turned around and sold, we now have, and at the time, a dozen years ago, the manufacturing facility wasn't worth it. Now we have a manufacturing facility that I hope to sell for forty, fifty million dollars. We have a multibillion-dollar potential esophageal cancer test. We just released DNA Expand and DNA Complete. And I'm going to go into all the specifics of how great they are that we've developed them. Separately, we have a world-class genomics laboratory. We're about to roll out Equivir in the next couple of months, a broad-based antiviral. I'm going to go into why the potential of that is multiples of the potential of Coldies, or back to the same kind of stock price. I just want to put it in that kind of perspective. I did it before. I'm going to do it again. I have an enormous number of assets at my disposal to work on and develop compared to twelve years ago when the stock price was sixty-five cents. And I'm really excited about the future of our company.
Ted Karkus: Alright. Farm laws. This is a no-brainer to understand. The reason why I love this business is because it has strong demand, growing demand, visible demand for the next one to five years. The demand for lozenges is expected to grow into the next decade. Whereas there is limited supply of capacity for manufacturing lozenges. It puts us in the right place at the right time. I didn't plan that.
Noella Alexander-Young: In fact, I primarily kept formulas in place.
Ted Karkus: Because I wanted the manufacturing, packaging, shipping, distribution, and logistics for selling products into food, drug, and mass stores. We have access to forty thousand food, drug, and mass stores. That was the primary reason I kept this business, not because I thought that one day that demand would be continuing to grow for lozenges, and there would be a lack of capacity for manufacturing around the country and around the world. Now people ask me, well, what's so special about our facility? Can't someone else build one? We estimate, in fact, we were negotiating with a large brand earlier in the year about this. It would take about four to five years to build what we have. And cost up to seventy million dollars to build what we will have built in the next year or so. Basically, to build what we have right now, maybe would be about fifty million dollars, where we're going with the b about seventy, but would take four to five years to build it. It requires acquiring the land and the building, ordering the equipment takes a year and a half, just to build the equipment that would be shipped. Has to be installed. You have to hire people to then run it, with no customers, and then you have to figure out how you're going to get an FDA approval. That can be another two years. It's a major undertaking. I don't see how there's going to be any serious competition for many years. There is another manufacturing facility where two one of them is focused more on gummies and capsules and other forms and don't care. In fact, we took some of their customers. Alrighty. We're telling us we have a leading customer now. They're the top-selling brand on Amazon, and they're giving us as much business we can handle. And they're telling everyone there's no lozenge manufacturing facility in the country like ours. And that's what we're getting feedback from, that's what we're doing. And so we have more demand than we can satisfy right now. And that's continuing. So we're building capacity as fast as we can, and the numbers are just taking off going forward. So we hired ThinkEquity to explore strategic alternatives, which you can see a way of saying we're exploring potential sale. Have already targeted over seventy potential acquirers. They're already getting very positive feedback. It's early. But they already did all their due diligence over the last couple of months, put together the CIN that's confidential materials, etcetera, etcetera, etcetera.
Noella Alexander-Young: So
Ted Karkus: To put this in perspective in terms of the numbers, we're looking at starting the fourth quarter this year, approximately fifteen million. My COO will say it's fifteen to twenty million. I'm happy just to say, fifteen million and five plus million in earnings over the next twelve months. That's only on the first lozenge manufacturing line. Our plans are to build out a second manufacturing line, which we ordered a year and a half ago. It's been built ready to be shipped. Are currently in discussions with one of the largest licensed brands in the world. We're in very, very late discussions with them. Basically, all but done. They agreed to pricing, etcetera, etcetera, etcetera. They anticipate we anticipate twenty to twenty-five million dollars a year in revenues from them online too. And they want to build in, then ultimately, it's going to go to thirty-five million dollars. That's in addition to the fifteen million dollars on line one. So we're talking about a business growing to forty million dollars in revenues. We could enter a five-year contract, which virtually guarantees the business growing of forty million revenues. And then we're talking about a line three that we're planning for. And we have customers already that would go to line three if we were to build it out. So it just goes from there. So the progression and the numbers are really exciting for PMI. It has enormous potential. And so as much as, you know, our company and the stock price and everybody is upset right now, including me, the fact of the matter is we have some tremendous opportunities going into next year, and I would imagine that our company, in terms of the balance sheet and the financials next year, will look dramatically better than it does today.
Ted Karkus: Okay. Be smart. Prophase Biopharma, Be Smart of esophageal cancer test. Just very briefly, I know most of you know this, but the same token, I think we have a lot of new shareholders who are on this call. So bear with me. I really want to make sure everybody's up to date. Esophageal cancer is one of the deadliest cancers. Eighty to ninety percent of people diagnosed with esophageal cancer will die of esophageal cancer. Why? Because they're diagnosed too late. Why are they diagnosed too late? Because there's no good diagnostic test out there. We have a great diagnostic test that will diagnose you earlier more and more accurately, and it will save your life. If you're developing esophageal cancer. Which will save insurance companies billions of dollars and save lives. At the same time, the test that I'm doing the quick version of this explanation the test will tell you if you're low risk. If you're low risk, you don't have to get an endoscopy every year. So just explain how this all works. When you have acid in your stomach, that acid starts to eat away at the bottom of your esophagus, which is connected to your stomach. Over time, that develops precancerous cells. That's a condition known as Barrett's esophagus. People with Barrett's esophagus or that are otherwise at high risk of esophageal cancer regularly get endoscopies, whether it's once a year or twice a year or whatever. Right now in this country, roughly sixty-seven million people are getting endoscopies every year. Roughly seven million of them are specifically at high risk of esophageal cancer. Insurance companies are reimbursing up to four thousand dollars per endoscopy. That's a twenty-eight billion dollar expense to the insurance companies. And that doesn't include the people who end up getting diagnosed with esophageal cancer where eighty to ninety percent of them are going to die. It's an enormous expense to the insurance companies. And, of course, there are a lot of people dying out there unnecessarily because they're not diagnosed early enough. Our tests our scientists that discovered this discovered the eight key proteins associated with esophageal cancer as those proteins shift more, that indicates a higher risk of esophageal cancer. And so our test can tell you whether you're at high risk or low risk. So if you're at high risk, there's a procedure you can get called an ablation. An ablation destroys the precancerous cells. Right now, GIs would love it if they could send all their patients to get ablations that they're concerned about. The problem is the insurance companies don't want to reimburse everybody getting an ablation because they don't know who really needs it. And who does it would cost an absolute fortune. And it's also unnecessary for everybody to get one. But if you knew which patients were at high risk, you could just give them the ablation, would save their life. It would save the insurance companies billions of dollars. And so we have a test that will tell you if you're at high risk or low risk. If you're at high risk, get the ablation, save your life. Based on CPT codes and industry standards, we believe and it's based on the complexity of the test based on the complexity of our test, we believe we'll be reimbursed a thousand to two thousand dollars. And our target market is seven million endoscopies that are performed every year in this country and it doesn't include globally. You know, I was working on developing some business in the Middle East over the last couple of years. The incidence of upper of I'm sorry. The incidence of esophageal cancer Barrett's esophagus is growing like wildfire over there. And it all has to do with diet. So, globally, it's a growing problem as well. But just in the United States market alone, is seven million endoscopies per year. And with our test, we're not telling anybody to go get an endoscopy. A key component of the success or failure of a diagnostic test is its convenience. There's nothing more convenient than our test because we're not telling the patient to do anything additional. This is only for patients who are already getting the endoscopy. So the patient after the endoscopy goes home. There's nothing else the patient has to do. The GI just has to send one of those specimens. An endoscopy is where you stick a tube down his throat, remove seven to nine tissue specimens where a pathologist studies those tissue specimens under a microscope. The problem is two pathologists will study the same specimen at the same microscope. One will tell you you have esophageal cancer, I'll tell you, Doug. So the next step, the next more step if medicine wants to evolve and really take care of its patients, it would be to send that specimen to our lab, run it through a mass spec machine, will tell you. Definitively, whether you have esophageal cancer right now. And or whether you're at high risk or low risk. And based on the high risk, low risk, if you're low risk, you don't have to get an endoscopy every year. That'll save the insurance companies billions of dollars. And the patient doesn't have to get unnecessary endoscopy. Which honestly isn't fun. On the other hand, you're at high risk. It'll save your life. So it's really an incredible test. We're looking to commercialize it within approximately a year. To be clear, don't want to complicate matters. Could either go on LDT route. That's a laboratory-developed test or FDA. FDA earlier this year was talking about getting involved in monitoring all LDTs. We and our consultants thought there's no way that's going to happen. But FDA sounded pretty adamant that it was coming to that. Now I'm hearing within the next month or two, FDA is going to say that they've changed their mind on that initiative. If we go the LDT route, we can commercialize very quickly. But the fact of the matter is, we've hired FHC foreign healthcare consultants, a multibillionaire who has used them in the past and made a lot of money with them on other cancer diagnostic tests and the like, highly recommended them to us. And one of the best recommendations I've ever received foreign healthcare consultants are experts in the industry. They have developed many as consultants, many very successful multibillion-dollar diagnostic testing companies, in particular, Garden Health, the founder of FHC, with Garden Health for five or six years. Very closely. Garden Health right now has about a two point seven billion dollar market cap. So we're working very closely with FHC. FHC wants us to take a very conservative approach so that when we launch, we have the physician networks behind us. We have the insurance payers behind us. We have the key opinion leaders behind us, we have all the right papers published in all the right publications, etcetera, etcetera. They want to do it the right way. So even if we go the LDT route, realistically, we'll buy commercialized late next year. If we have to go through FDA, realistically, we'll probably get FDA approval. The end of next year, we commercialize the beginning of it. 2026. But again, just going back to the numbers for a moment. We're talking about seven million endoscopies and getting reimbursed a thousand, two thousand dollars. That's a seven to fourteen billion dollar market we're going after with virtually no competition. And even if we only get a fraction of that, and we think every one of these endoscopies should use our test, but even if we only got a fraction of that, the numbers are ridiculously large compared to our current market cap. And it's not far away. This isn't like a drug where you have to go through FDA and you have to spend another fifty or hundred million dollars another five or ten years, so maybe know, finish the phase two or finish the phase three, and then keep your fingers crossed that you get great results and the FDA approve. We've already gotten all of our great results. In fact, we're doing more studies, but we don't need them. To commercialize. We're just going to make the statistics stronger and stronger and more compelling. But we're ready to go on this. I'm really excited about it. So my point being, from the point of view of a biotech, this is very late stage in its development. And yet it has zero value in our in our in our cup in our the stock market right now. Just something to be aware because it's very real. For those of you that know me, you know that I am a straight shooter, that I've executed in the past, and I am a huge believer in this test. I think it's going to save a ton of lives. It's going to save insurance companies billions of dollars, and there's no reason why we can't make billions of dollars in the process. And whether it's hundreds of millions or billions, either way, it makes our stock go up ten, twenty, thirty, forty, fifty times from where it is right now.
Ted Karkus: Okay. Finally, just very quickly before I move on, I and I'm spending a lot of time on this because look, our formalized manufacturing to me, is a layup. It's worth an enormous amount of money. Right now, probably double the entire market cap of our company. If we held it an extra year, it could be worth triple or quadruple or the market cap of our company. And with esophageal cancer, you know, it could be worth ten or twenty times the market cap our company really has that kind of potential. And my point being is if Formalize is worth that much, now based on its revenues and earnings, it provides dramatic and significant underlying support for our company. You're getting these other biotech-related assets and initiatives basically for free. Even less than for free. So one last thing I want to mention for those of you doing diligence, you'll hear about blood tests for esophageal cancer, blood test. I don't care what they tell you. There's no such thing as a highly accurate blood test. I don't want to pick on other companies. But a lot of times with these clinical studies, the results aren't always exactly the way they present them. Just as an example, with COVID testing, when the antigen test came out, everybody said they're just as accurate. They were nowhere near as accurate. It was a joke. But it was a good first test because it could be done on the spot. And so with the antigen test, you get the antigen test, you test positive, then you follow-up with PCR test, which gives you the more accurate result. Think of it the same way with the blood test. You get a blood test, that test positive. What's the next step? Go to your GI, get an endoscopy. That's where we come in. It actually grows our market. Our market is after you get the endoscopy. The blood test is before you get an endoscopy. So if you get in if you do get a positive blood test, if these companies with blood tests are testing? I hope they are. It's actually going to grow the market for more endoscopies, which is going to grow our market. It's not competition. So the blood test will give you a positive or negative gives you a positive. The next step, you're going to go to your GI. The GI is going to want to immediately give you an endoscopy. Once you get the endoscopy, send the specimen to our lab, and we'll give you the definitive results. Okay. There you go. I think that I think we really covered it. Happy to ask answer more questions on it.
Ted Karkus: DNA Complete. So we just launched DNA Complete. I'm not going to spend too much time on it. DNA Complete has significantly more research reports than what we had with Nebula, but more importantly, it has an advanced ancestry platform. We formed DNA Complete to work with new developers and develop this incredible ancestry product. And we have all these great offerings now for DNA Complete. And just as importantly, and I've mentioned this, we are working with the former COO of Barstool Sports who was in charge of business and marketing. He's an expert's expert. He has connections to everybody, to influencers, etcetera, etcetera. He's been working on this the better part of the year with Jason Karkus on building this incredible media marketing platform that we're now going to be rolling out. And the other thing that's special DNA Expand, I'm really excited about this, DNA Expand does not require a lab test. We take an ancestry test data. So if you're a consumer, twenty-six million consumers have gotten an ancestry test. All twenty-six million, if you got your ancestry test from twenty-three and Me, Ancestry.com, MyHeritage. You're allowed to download your data. You can then upload it to us. The only cost to us is we then have to store the data and some other IT. All in all, my request is five dollars. Six dollars. Meanwhile, the ancestry companies, twenty-three and Me, is charging sixty-nine dollars per year for a subscription to provide you with health-related research reports related to your ancestry test. We will provide significantly more health-related reports. We boost your data. I'm not going to get into the science behind it, but you can read here, expand your DNA data, users file is boosted fifty times more data after upload. We provide significantly more in-depth health and wellness reports compared to typical DNA ancestry tests. So we're providing an enormous wealth of additional information. We'll do it for forty-nine dollars subscription instead of sixty-nine. We'll save the consumers twenty dollars for and provide them more information. The cost to us is, like, four or five dollars. This is a cash cow. Throw out everything in the company. Just focus on this one. I don't know the you know, in three years, could we get one million out of twenty-six million? It's not a lot. But if we got one million, that would be fifty million dollar a year revenue business generating forty million more than forty million dollars in profits minus whatever the cost of the advertising is. This could be earning ten, twenty, thirty million dollars a year. So I'm really looking forward to ramping up this business. Another reason why I want to do capital raise, I want to start advertising this now. Want to start going after these consumers now. Best time of the year to go after them? Is holidays. You know, it's Black Friday's. It's Christmas. Everyone's giving gifts. So I'm really excited about these products and this launch. And, again, Nebula Genomics, not going to spend a lot of time on that. Think of that moving forward more as our laboratory also work very closely with George Church, world-renowned in the field of genomics up at Harvard. We've been working with him for years on these companies, and it's a real pleasure having them on our advisory board. And we speak with him regularly.
Ted Karkus: Alright. Prophase supplements very quickly. As I mentioned, we have a brand Legends XL. When we sold the Coldies brand, I wanted to keep the infrastructure in place. To reach out to the forty thousand food, drug, and mass retail stores. So we had the manufacturing, packaging, shipping, distribution, logistics. We have our same senior salesman, Joe Brennan. Who's been with us even more years than when I took over control of the company. I remember Joe being with the company when I was first just an investor. He's probably been in the company about twenty years. He's an expert's expert on selling into the retail stores. I work very closely with him on Coldies and then turning it around. And then he placed Legends XL into CVS and Walgreens. We don't even do any advertising on this product. That's two and a half, three million dollars. We're now on the media platform, marketing media platform that we built that we're launching DNA Complete and DNA Expand with. We're also going to build out a whole Prophase supplements section. Which could be really cool. Legends XL is just the lead on that. We also have Triple Edge, which is complementary to Legends XL. You can bundle them together as a great workout product, but more importantly, that was more to keep the infrastructure in place. We have the same great relationship with the number one sales broker in the country, that works with all the major retailers and with those relationships we're now going to roll out Equivir. So Equivir is a I'm not sure what I'm allowed to say on the packaging and what I'm not. So please, I'm not advertising the product. It's not out yet. What I so I have to be very careful how I talk about it. But I could tell you that we did a very large now first of all, a lot of studies were done before we acquired the right of the product a few years ago. But since that time, we ourselves independently did a very large clinical study. Now typically, what the FDA would like to see is two studies of at least fifty fifty-five patients. If you want to keep the class action attorneys off your back, you also want at least two studies at fifty patient seats. I know this from experience. You have no idea how many nuisance class action lawsuits I had to deal with with Coldies. We won all of them. But they were a nuisance, and I'd rather avoid them. And so I made sure that before we we could have launched Equivir already. I didn't want to launch it until this clinical study was done. So we did two arms total of three hundred and seventy patients, and the preliminary results were phenomenal. And the final result we recently got in the raw data. And the initial word back on the raw data is that the clinical study researcher is really excited about the final results, and I can't wait for that all to be written up, and that should be done before year-end. Launched Equivir. I've been talking to my team recently. They think that Equivir could be the biggest product of all. Now, of course, that's separate from PMI, which is a manufacturing facility and our b smart esophageal cancer test. Those are two completely different businesses. But from a product point of view, Equivir could be the biggest thing that we sell. And the reason it's different from Coldies, by the way, I still take Coldies. I still believe in it. Coldies is a homeopathic lozenge that dissolves in your mouth. It sits there for a long time. People don't like the taste of it, and it's homeopathic. Only about six percent of the country even buys homeopathic products. So it's a small market. I had to turn around and grow a brand with a very small target market and did. And just to show you, not to toot my own horn, oh, I sold that brand for fifty million dollars. I had it doing a fair amount of very fair amount of revenues is growing and profitable. That business is now doing a small fraction of what it did when I turned around Matt. I don't want to go into more details. We do I'm still manufacturer called these. I still believe in it. I still take it myself. Equivir though is not homeopathic, and it's not a lozenge. So the market, the target market, is probably five times the size of the market that Coldies would sell to. The number of consumers we can sell to is probably five times as many. The results have been phenomenal. I don't won't go into more details now except to tell you that we tested it during the cough cold season, two arms, one was as a therapeutic, meaning if you got sick, you either took Equivir or you took a placebo. It turned out this is just preliminary results. The preliminary results show that if you took Equivir, you're sick half as many days. And that included for cough, cold, flu, and COVID. We will not be able to make COVID claims. We will be able to publish a study that results will speak for itself. That says a therapeutic, then as a prophylactic, meaning you take it every day. Turned out the group that took Equivir got less sick. There were fewer incidences of getting sick of everything, from, as I said, cough, cold, flu, COVID, compared to those taking the placebo. So the results I'm really excited about the results. Can't wait. To roll out this product. Okay. And I just talked about the Equivir clinical trial. And the timeline. I already covered all of that. The investment highlights, you get it. I just want to wrap up with and I've really gone through all of this, but I think it's important, especially given the stock price and people are like, oh, what's going on? I have never been more bullish on the future of our company than I am right now with the assets that we are developing. We have never had the wealth of assets that we have now, and we've never had the potential that we have now. And it's not like these are pie-in-the-sky assets that maybe get commercialized in three, five years. And require tens of millions of dollars. So if you can't tell, I'm enthusiastic about what we have. I think our future is very bright, and I am going to focus on making sure that financially, going forward, we took a lot of expense. I don't even want to say where, I don't you know, I have to be very sensitive about what I talk about now. But I can tell you that our financials I have the ability to make our financials improve very significantly very soon, and that's my goal. And that's what I'm going to do for you as a shareholder. That's what I'm going to do for me as the largest shareholder in the company. So I thank you for your time and your patience. Usually, my presentation's about twenty-five to thirty minutes. This is now a little over forty. Let's Noella, I know there's I'm sure there's a bunch of questions out there. Let's try and I'll try and keep this to an hour. Let's get to as many questions as we can. Over to you for the questions, please.
Noella Alexander-Young: Thank you, Ted, for the presentation. We will now begin the Q&A. The first question is, how is DNA Complete different from Nebula? Is there a pathway for Nebula customers to switch to DNA Complete?
Ted Karkus: Sure. So the key difference think of look, we decided to develop DNA Complete and DNA Expand. Think of it as a well, first of all, we have the enhanced ancestry, which Nebula never had. We have more health reports with DNA Complete. And with DNA Expand, we have this incredible opportunity of this amazing potential cash flow generating business with incredibly high margins we're going after the ancestry customers. So it's really an entire it's an entirely new business. We formed DNA Complete and Expand, completely separate from Nebula. So Nebula, think of that as we're still going to use the Nebula lab going forward, but we can also use other labs if we want to. So we have a lot of flexibility now with DNA, Complete DNA Expand. It also gives me a lot of flexibility with what we do with Nebula in the laboratory. So it's I really have the best of both worlds. And I have a lot of flexibility now. These are completely independent companies of each other. They are both wholly owned subsidiaries of Prophase Labs.
Noella Alexander-Young: Thank you for your response, Ted. The next question is, can we expect initial sales figures for DNA Complete in Q4?
Ted Karkus: So we yeah. Well, look. We're going to report Q4 whenever we report Q4, I would imagine we will certainly break out DNA Complete, DNA Expand, sales. I you know, I'm not I'm not the CFO, but I believe we'll probably break them out. But having said that, we're just launching this now mid-November, and so, you know, it's going to take some time to get some traction. So we should get some traction over the next six weeks. Alright? And especially because it's the holiday season, which again is another reason why I wanted to get some money in the door so that we could be aggressive with the advertising. Immediately, put a block of money into the advertising, so that our social media and marketing team could ramp up immediately with that. So we're still tweaking the website and the logistics of it. At the same time, we're ramping up.
Noella Alexander-Young: Thank you, Ted. The next question for you is, what was the cost for launch/marketing for DNA Complete?
Ted Karkus: What was the cost? Okay. So you gotta understand, this has been a work in progress for quite some time. As I said, we collaborated with Stu Hollinshead back when he left Barstool Sports. He's now the CEO of a marketing company that has very nice potential. And at the same time, he's a consultant to us. It's a great relationship. And so we've been working with him and building all year. It's more Jason than me. Two of them work very closely together every day. And so we get the best of both worlds. We get to leverage all that expertise and all the infrastructure of Stu's company, which is ten PM curfew. And it's just a great situation for us. So this has been building all year. So in terms of the expense, we've been spending on this all year. In terms of the expense now, what you do is you spend money on marketing, and then you see the results. And based on the you have to tweak it. They've already been doing quietly doing some testing long before now, but now they really start to ramp up. And based on testing and seeing where you're getting a positive return on your advertising dollars and where you're getting a negative turn, obviously optimize where you're getting a positive return. And then you advertise more and more. And then as you're generating revenues and cash flow, you keep growing the advertisers. It's exactly what I did with Coldies. Many years ago. But when I did, I mostly did it with TV. So social media and online and podcast honestly, that's not my thing to me. That's more of a young person's game. I'm being honest. We're probably going to do TV, radio. When we do, I will be heavily involved in that. I also have some very strong beliefs on how to advertise. It's critically important that you generate that you create an effective message in the way you do that. There's a lot with a lot of test marketing, and then once you create a highly effective message, have to deliver that message efficiently. If you're spending a lot of money on the advertising to get the word out, it's not going to be efficient. You're going to have a low ROI. So it's important to have an effective message and then deliver that message as efficiently as possible. I used to buy remnant time on TV and radio all the time. I was paying less than anybody. Zicam was a big competitor of ours. We gained significant market share on them. When I was building the Coldies brand, even though I had one-fifth of the budget that they did. So we're basically going to do the same kind of things with the same sophistication in rolling out DNA Complete and DNA Expand. And then I'm really excited when we roll out Equivir. I think Equivir is going to be a no-brainer. At the same time that we're selling that online, then going to ultimately work it into the forty thousand food, drug, and mass retail stores. That's the goal.
Noella Alexander-Young: Thank you, Ted, for elaborating on that. The next question for you is, any prospect to screen for more than just esophageal cancer for the b smart test?
Ted Karkus: Look. There are a lot of directions that we could go in. But my goal right now is to limit capital expenditures going forward. As I said in the press release, my first goal is to cut out about six million dollars of overhead and expenses going forward. My goal is to do that before year-end as a the run rate going into next year. That's point number one. So point number two last thing I want to do is develop new initiatives that's going to cost us millions of dollars. I just don't believe in it. You know, if you see twenty-three and Me is struggling right now, they're not struggling because of selling their ancestry test. If they just stayed to selling ancestry test, they probably would have made a fortune. They'd be a great company with a big market cap. They got into drug development. That's what got them into trouble. So the last thing I wanted to do is follow in the mistakes of these other companies. And by the way, with twenty-three and Me struggling, that's a real opportunity for us. Because we can go after their customers with our DNA Expand product. So this is a real opportunity for so the bottom line is I don't want to develop you know, highly very expensive drugs. We do have one actually, a cancer therapeutic. Called Linebacker where we got great preliminary results. But I will not spend a lot of money on that. Our goal really is to partner that I don't want to shoulder the expense. So by the same token with our esophageal cancer test, I don't want to shoulder the expense of going in another direction. Other than there may be other delivery technologies for using our test that don't necessarily require a dust be like a brush that goes down your throat. That still picks up the tissue specimens, and we can run the test without an actual endoscopy. So there are ways that we're looking into. But the key is we have the IP on the eight proteins. And if anybody really wants an accurate esophageal cancer test, and just so you understand, I didn't really explain this with the blood test earlier, the esophageal cancer grows in your esophageal tissue. It doesn't grow in the blood. It takes time for the disease to go into the blood. And by the time it seeps into the blood, you have so much blood in your body it gets diluted. So a lot has to go into your blood before a blood test is going to pick it up. So the key though is that tissue is getting to the tissue. So there may be other ways of testing for esophageal cancer, but I believe it really needs our test because our test is the one with the IP. The eight key proteins. Associated with esophageal cancer. And I don't see how it will be very difficult to develop an esophageal cancer test that's as accurate as ours that doesn't study the proteins that we have the IP on. And then at the same time, as I said, the blood, no way it's as accurate because too many false negatives, too many false positives. But it could be a you know, a first test that you take before you get the endoscopy from the GI.
Noella Alexander-Young: Thank you for clarifying that. The next question for you is, who were the shares in the financing sold to? How much stock did ThinkEquity get? And how much were they paid to handle the financing?
Ted Karkus: So look, it's a standard investment banking deal. The investors were institutional investors. These are clients of ThinkEquity. I met with a lot of them. So a part of what happened here, excuse me, was that I went to a ThinkEquity conference. So there are actually a couple of delays in this raise, and it's a part of why the timing got a little screwed up. When I went to, I think equity, conference, about a week and a half before. I met with a ton of institutional investors. Had great meetings with them. Then we had the election, then we did the raise. So the bottom line is I don't have a list yet. I'll probably get a list. I don't have a list yet. Of who the investors are. They are typical institutional investors. Are clients of ThinkEquity.
Noella Alexander-Young: Thank you for clarifying that, Ted. The next question is, what is the basis of your forecast to do fifteen million and pretax profit of five million? How do you arrive at that number?
Ted Karkus: Sure. So it's actually pretty straightforward. We have more customers than we can handle. We've been increasing prices on them. We have a new customer who, as I mentioned, they tell us that they are the largest seller of lozenges on Amazon. And they're giving us as much business we can get, and it's high-margin business. So we're really, we're just looking at our capacity of our first line. And by the way, we had an automation equipment to increase our capacity. We're also adding shifts. So those are really just number calculations as to how many shifts, how much product is manufactured per shift, etcetera. And then what are we charging for it? And then what's the cost of ingredients? So you put that all together, and you come up with numbers. But understand, this isn't like we're guessing if more customers come to us. These are customers that we already have. As I said, we have one large customer that will take all the capacity we can give them right now. And we're accepting orders right now through April of next year. So we already know our entire book of business and what we charge our customers through April of next year. So and the other thing I would mention is, typically, in the lozenges business, it's seasonal. So consumers are buying the product in the cough cold season, you know, let's say fourth quarter, first quarter, the retailers want to stock the shelves with it, starting just before the fourth quarter. Alright. So in the third quarter. So a lot of the manufacturing really takes place third and fourth quarters. So second quarter is typically a down a very down quarter seasonally, but we're now adding new non-seasonal customers. It turns out are companies in the diet in the dietary supplement space. Who we're selling capsules, and gummies and other forms that don't have a lozenges form that now want to get into lozenges. Lozenges becoming a more and more popular form. Not that they're overtaking these other forms. So for example, I didn't really mention this. This is one of the reasons I'm so bullish on Equivir. It's not just that our target market is so much bigger. We're because we're not home it's not a homeopathic product. Also, we're capsules. Everybody takes capsules. Capsules are really easy to take. Some people love lozenges and some people hate them. Every nobody no one has a problem with the capsule. You just swallow. It's really easy to do. So it's one of the most popular forms. So the bottom line is we have all these orders and we have the capacity and we know what we're charging, so it just becomes a numbers game. It's not like we have to guess are we going to have orders. So and then the beauty of our second manufacturing line we're negotiating with a brand to take up the entire capacity.
Ted Karkus: And in fact,
Ted Karkus: They're talking about they want in years they're talking about a five-year contract. They're talking about by year three, they expect us to have a third line and they want to take up some of that too. They're talking about growing the thirty, thirty-five million a year of revenues. And that's in addition to what we're doing on the first line. So I understand the reason why we can do more on the second line it's twofold. One, it's much more it's new equipment. And it requires less labor. So it's much more efficient. The capacity is significantly greater, and our margins are greater on the second. On the other hand, we do all the business with one large brand, they're going to want us to charge them less than if we had fifteen customers. It's also a lot easier for us if we're not constantly switching customers. Every time you switch a customer, you need downtime to clean the equipment and machinery, while the labor has to know how and learn how to manufacture intricacies of each different product, etcetera, etcetera, etcetera. So the second line is much more efficient. So our margins might be less. The volume is greater, the margins are less, but it's a really nice profitable business as well. So these numbers and that's why my point is private equity loves a business like this. Because you can see visibly what the growth could look like. If they're willing to invest, especially in the third line, you can see what the business looks like for the next two, three, four, five years, exactly what they want. So what they do is they say to themselves, okay. We buy it for fifty million dollars. We're going to finance it. What's the interest cost on the financing? How much capex do we have to spend? And what's the business worth in three to five years?
Ted Karkus: And guess what?
Ted Karkus: The return on it could be enormous. So the next question people are asking me is, well, then why sell? I may not sell. It all depends on the finances of the company. I don't want to be strapped for cash. I don't want people upset because I do capital raise. I don't want to do capital. Okay. I'm on a liquidity event. Now the easiest liquidity event that is the most reliable is the sale of PMI, and that honestly is what I'm focused on. Because once I sell that, I don't know if I'm if I'm allowed to say this or not allowed to say, but I'll just tell you. If we sell PMI and our stock is anywhere near these prices, I'll buy back every single share that was issued last week. And more. And I've done it before. I bought back an enormous amount of stock over the years. I can't wait for next year. We have a liquidity event. I don't want to I don't think I'm allowed to say I'm definitively going to do it, and I don't want people to buy the stock today because I'm going to do it. But I want to explain to you how I think as a CEO and as the largest shareholder, my background is on Wall Street, and investment banking. I promise you, I know what I'm doing. And I promise you, if the stock is anywhere near these prices when we have a liquidity event, forget about it. Alright. Will I will buy up every share that I made. In fact, when I sold the Coldies brand, I did a Dutch auction, a Dutch auction, is where you say to everybody publicly, I'll buy back your stock. I did the deduction. And there was one shareholder that had fourteen nine point nine percent of the shares outstanding and I didn't get along with him. And so when we're done with the Dutch auction, it was slightly oversubscribed, and I didn't take him out of all his stock. So I did a second Dutch auction. Alright? So my point is that's my history. I can't guarantee what I'm going to do in the future, and I'm sure the SEC doesn't want me talking about how I might do a stock buyback in the future. But what I can tell you is look at my history of what I've done in the past. There's no reason why I would there's no reason why the same thing that happened over the last decade isn't going to happen. Again, the difference is instead of having one small asset that I turned around sold for fifty million dollars. I have four or five assets. That I that I can build. And several of them, I believe I can sell for a hell of a lot more than Thank you very much, Ted.
Hunter Diamond: Think we're out of time. Do you I think we're out of time. Are we good?
Noella Alexander-Young: Excellent. Would we have time for one more question?
Ted Karkus: Go ahead if you got go ahead. If you want to squeeze in more, I don't want to leave anybody hanging. I'm sure you got a lot more, but we're out of time. But let's do one more because we started a little after the hour. We're giving it a full hour. Go ahead. What's your last question? I hope it's
Noella Alexander-Young: The last question is from Hunter Diamond from Diamond Equity. The question is for the b Smart esophageal cancer test, could you provide more detail on the nature and scope of the partnerships with two major cancer diagnostic companies? What milestones should investors anticipate in terms of validation, market access, and potential insurance reimbursement timelines?
Ted Karkus: Great question. And I apologize. Gotta give a shout-out to Hunter Diamond. He's an analyst that actually follows our company, does a great job writing up research reports. It wouldn't surprise me after this that he'll write up a research report. I don't know who really you want, but it wouldn't surprise me. Anyway, Diamond Equity Research Hunter Diamond. Thank you for your question. Wow. I didn't really even talk about that. On this call today. Except very, very briefly. And this could be a very big deal. And you know what? It's just it's kinda premature, and I don't like to mislead anybody. And I don't you know, with pharma laws, it's a done deal that we're putting it up for sale. And that we're aggressively along. So not that we're guaranteed to sell it, but I can tell you definitively it's up for sale. And so it's appropriate for me to say it's up for sale. These are the numbers, and these are my expectations. With the b smart esophageal cancer test, we go in one of two directions. We either commercialize it ourselves, partner it after we commercialize, or we partner now. Now from my way of thinking, we're far along in the development stage of this. This is when large multi-billion dollar companies want to partner just before commercialization. The reason I like the idea of partnering is because these large companies already have this massive infrastructure in place. They have a Salesforce. They're already going into the GI's offices, the physicians' networks. They have the relationships with the insurance payers.
Ted Karkus: At with the key opinion leaders.
Ted Karkus: Etcetera, etcetera, etcetera. Very easy for them to commercialize our test.
Ted Karkus: At the same time, I know
Ted Karkus: That there are multiple colon cancer diagnostic testing companies that are dying to get into the esophageal cancer space. It is a perfect fit. You all know with a colonoscopy how that's performed. Well, that goes up one way. In the endoscopy, they go down your throat, it's going down the other way. They want to get you coming and going. It's not my job. But seriously, these companies
Ted Karkus: Want
Ted Karkus: An esophageal cancer test, and we got the proprietary IP that they need. So
Ted Karkus: The question is,
Ted Karkus: If our market is a potential seven to fourteen billion dollar market, one of these large companies could potentially three years from now, they could build our test. We commercialize it in roughly a year. Two years out, it could be doing easily hundreds of millions of dollars in revenues on its way to a billion dollars in revenues. Just imagine, I don't know what our royalty would be, hypothetically, are some industry standards in there. You know, like, a twenty-five or fifty million dollars
Ted Karkus: Upfront
Ted Karkus: A milestone when you actually commercialize, and then you know, it could be a seven percent royalty. Seven percent royalty you know, at a billion dollars, seventy million dollars a year. I'm not going to say that we're going to seventy million dollars a year for our esophageal cancer test in royalties. By the same token, if instead of a billion dollar test, it's only a hundred million we could do a hundred million dollar test by ourselves. The way, I don't think we need a large company. I think we'll get to a hundred million dollars a year by ourselves. But let's suppose we partner it. When they first get to a hundred million in revenues, you know it's going to grow to two hundred and five hundred. Even at a hundred million, it's a seven million dollars a year of free earnings cash flow for our company. That alone would make our company worth five times its current value or ten times or whatever it is.
Ted Karkus: So the idea of partnering
Ted Karkus: It just speeds up and accelerates the valuation of the test. And at the same time gives it more upside. Because the risk-reward partnering with a large company probably significantly reduces the risk and still gives you a lot of upside. Maybe not as much as on our own, but I think that if we partner, they'll make it a much bigger test than we will by ourselves. And then, you know, the truth matters, we did it by ourselves in a couple of years, we probably sell it anyway. So Hunter Diamond specifically asked though who we're talking to. I will just tell you there are multibillion-dollar cancer diagnostic testing companies. And it's somewhat preliminary, but my guess is preliminary could accelerate very, very quickly. There could be a competition for it. Again, I don't want to jump the gun, and I don't want to say that we're going to do this. I am very confident in selling PMI because the revenues and numbers are there right now. And I know that there's a long list of potential buyers with our esophageal cancer test,
Ted Karkus: Let's see
Ted Karkus: How the next month goes with discussions. I you know, hopefully, I have something really positive to say about it, and we'll see over the course of the next two, four, six weeks. Anecdotally, I'll tell you that our consultants at FHC sent me some cryptic note, like, yesterday. And I said, what do you mean? What do you mean? And he just kinda repeated with a smile. I know he's making progress, and I'll see what that means. So we have real the bottom line is we have real potential there, and I'm excited about it. Thank you for all the questions. I'm sorry we're out of time on the questions. Noella, you're supposed to ask me for closing remarks. I'm sorry. I'm doing your job. Right now. Go ahead. You go.
Noella Alexander-Young: Thanks, Ted. Well, that concludes our Q&A session for today. Before we go, I will turn back the floor to you, Ted, for final remarks.
Ted Karkus: Okay. So, again, thank you, everybody, for joining today. As you can tell, I'm really optimistic for the future. The assets we have under development speak for themselves. They are late-stage. The difference with us and other biotech is, first of all, our manufacturing facility is not biotech. There's no risk associated with it. It's just it's a growing business. Our other businesses Equivir and Legends XL, not really they're biotech. They're supplements. We have a great platform distribution in place. For them, so I'm excited about them. Equivir by itself could be a phenomenal product. You know, our Prophase supplements, or Prophase subs, that business could be a tremendous business that we grow for the next few years. So we have a lot going for us. It's all late-stage. It's all commercialization now. Or soon. At the same time, my goal is to significantly reduce overhead and expenses going forward. That we are fiscally conservative going forward. Understand a part of this is because we should've gotten a block a large block of money in from the government. A lot of my planning wasn't that I was sloppy, a lot of the planning was based on the fact that the government should have paid us significantly more money than it has. Long ago. And that's disappointing. So now I have to I have to respond accordingly. As a responsible CEO, I have to figure out how to adjust to that fact. That that money will come in when it does, how much comes in, but I'm not going to count on it. I'm not going to wait for it. I want to run the company. If that money isn't coming in. I am still very confident it's going to. But I have to run the company accordingly. And there's some things we can do. I want to focus on our core assets that are either commercialized or about to be commercialized. And, again, if a South and you'll catch test, I don't think that's going to cost a lot. And if we end up partnering not going to cost us anything to commercialize. To the contrary, we're going to get money upfront. So I'm thinking in terms of being very cost-conscious going forward and building our company in a smart way. And with that, again, thank you all. We ran way over time. Everybody have a great day. I really appreciate your support. And looking forward look, next month, I will do another call like this, and I should have lots of updates. So check in with Renmark. You can sign up. It's free. They'll let you know every time we have another presentation coming. Thank you again. Have a great day.
Noella Alexander-Young: Thank you, Ted. And thank you to everyone for joining us today for Prophase Labs' third quarter 2024 results. Prophase is trading on the Nasdaq, under the ticker symbol PRPH. The playback for this presentation will be available on our website twenty-four to forty-eight hours after this presentation under the Vandere library tab. Please stay tuned for other presentations and see you next time.